Operator: Good morning. My name is Hillary. I would like to welcome everyone to the JetBlue Airways First Quarter 2017 Earnings Conference Call. As a reminder, today's call is being recorded. At this time, all participants are in a listen-only mode. I would now like to turn the call over to JetBlue's Director of Investor Relations, David Fintzen. Please, go ahead.
David Fintzen - JetBlue Airways Corp.: Thanks, Hillary. Good morning, everyone. Thanks for joining us for our first quarter 2017 earnings call. This morning, we issued our earnings release, our investor update and a presentation that we will reference during this call. All of those documents are available on our website at investor.jetblue.com and have been filed with the SEC. Joining me here in New York to discuss our results are Robin Hayes, our President and CEO; Marty St. George, EVP, Commercial and Planning; and Steve Priest, our EVP, Chief Financial Officer. This morning's call includes forward-looking statements about future events. Actual results may differ materially from those expressed in forward-looking statements due to many factors, and therefore, investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from forward-looking statements, please refer to our press release, 10-K and other reports filed with the SEC. Also during the course of our call, we may discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of our earnings release, a copy of which is available on our website. And now, I'd like to turn the call over to Robin Hayes, JetBlue's President and CEO.
Robin Hayes - JetBlue Airways Corp.: Thanks, Dave. Good morning and thanks, everyone, for joining us. I'd like to start by thanking our more than 20,000 crewmembers for their dedication to building a great company for our customers and, of course, our owners. Our outstanding crewmembers help power our brand and drive customer choice. Thanks to their hard work, our culture and values, JetBlue was ranked Best Airline in North America and fourth globally by TripAdvisor in their 2017 Travelers' Choice Awards. I'd also like to welcome Steve Priest, our new CFO, to his first earnings call. Right, I'm now going to start on slide 4 of our earnings presentation. During the first quarter, we reported operating income of $147 million, pre-tax margin at 7.9% and an earnings per share of $0.25. Our first quarter financial performance was negatively impacted by off-peak demand that was below our expectations, as well as the timing of Easter. We took quick action to address the near-term revenue challenges and we are seeing the benefit in our sequential RASM improvement. Let me put the first quarter in context. Improving our margins and earning the right to grow has been and remains my priority. We are committing to our goal of achieving above average industry pre-tax margins, and we recognize that our path to creating shareholder value is ultimately to sustain superior margins. We are encouraged by a relative performance in 2016, but we still have significant margin opportunities in front of us. We are making meaningful changes to our company and we will leave no stone unturned. We are particularly excited about the work we're doing on costs. I've asked Steve to lead a fleet review, and he'll update you in a moment with our initial decisions made on our order book to support our margin commitments. We are confident that we are on the right track to achieve our longer-term goal of producing the superior margins that the market expects from a low-cost airline as we grow our network. Okay. I'm going to move on to slide 5 now. We took quick actions to moderate our 2017 capacity growth and accelerated a series of revenue initiatives to address the first quarter revenue challenges. As a result, we've seen sequential improvement in our monthly RASM performance. We're confident that our actions are working, and our RASM guidance, which Marty will detail in a moment, demonstrates our significant progress. Marty will also provide some details on our new quarterly guidance cadence as we retire monthly RASM. In the first quarter, we continued our strategy of disciplined targeted growth. Boston remains a key point of strength for us and demonstrates that market relevance is an absolutely critical part of achieving superior margins. Mint continues to be a RASM and margin builder and demonstrates the returns we can achieve with a best-in-class product and a low-cost structure. Fort Lauderdale remains a focus for our growth and a market that we believe fits our unique model exceptionally well. We've been particularly encouraged by increasing RASM premiums based on public DOT data. As I've said before, we've established two priorities for 2017. The first is our structural cost initiative and we have turned the corner from planning to execution. This quarter, we announced the appointment of Steve Priest as our new CFO. As you heard at our Investor Day, Steve is the architect of our cost-savings efforts, and his appointment demonstrates our commitment to improving our unit costs. Steve brings nearly 20 years worth of airline expertise, including significant experience implementing successful cost programs. He has my full support and that of the team, and we will look in every corner for opportunities to optimize and expand margins. He'll share more perspective and specifics on our initiatives shortly. Our second priority for 2017 is improving our on-time performance. We've made a number of changes in our operation in a short period and we are already seeing improvements in performance metrics. Thanks again to our crewmembers for their work in helping develop and quickly implement these changes in our operation. We already have a lot of work underway at JetBlue to build an even stronger company. Again, I want to emphasize that we are committed to sustaining above average industry pre-tax margins and continuing to improve our returns as we grow our network in a disciplined targeted fashion. We truly believe this is the best path forward to increasing shareholder value. With that, I'll turn the call over to Marty to cover the network and revenue environment.
Martin J. St. George - JetBlue Airways Corp.: Thanks, Robin. Good morning, everybody, and thanks for joining us. I'm going to start on slide 7. During the first quarter, we continued to balance our disciplined growth with our management commitments and keeping with our strategy to enhance shareholder value. As Robin noted, through the first quarter, we acted quickly to improve RASM performance. Our revenue initiatives took effect beginning in February and our capacity adjustments began to take effect in April. We are pleased with the strong sequential improvement we are seeing in the second quarter outlook and are taking even further steps to continue improving RASM. Some of the capacity actions we took earlier in the year included reducing red-eye flying and off-peak flying to better match supply and demand in off-peak periods. These adjustments address the softer RASM performance we've seen in off-peak versus peak periods. We've also made network adjustments to optimize selected markets. Examples include Cuba and San Juan where we've seen isolated demand weakness. Overall, we're pleased with the results we are seeing in forward bookings. Regarding Cuba, an important part of our Caribbean plan, we've optimized and tailored our capacity and our revenue strategy to this unique market with a focus on our service to Havana. In San Juan, the capacity adjustments that began last year have improved RASM performance meaningfully. For the second quarter, we plan to increase capacity between 4% and 6%. Our full year capacity guidance is unchanged at 5.5% to 7.5%. Our growth remains targeted on margin accretive network opportunities. In the last five years, approximately 97% of our growth has been in our six focus cities, and 92% has been in New York, Boston and Fort Lauderdale. While one or two routes can capture the attention of the market, more than half of our 15 new markets this summer touch Fort Lauderdale. Moving to slide 8 and the network, starting in Boston, we continue to see the benefits of our growing relevance in our margins. Our service to LaGuardia from Boston is exceeding our expectations. We've also added Atlanta as our 63rd non-stop destination from Boston during March and we are thrilled with the market response. Our Mint markets continue to be RASM and margin builders and we believe the value of this cabin is a result of the outstanding service delivered by our in-flight crewmembers. Even our most established Mint markets outperformed system RASM in first quarter. RASM increased over 10% in March and 6% in the first quarter for the two New York markets. In March, we expanded Mint service to Fort Lauderdale, with non-stop service to Los Angeles. This fifth group is developing comparably to our experience in Boston. Non-stop Mint service between Fort Lauderdale and San Francisco is out for sale, and we are encouraged by the early bookings. In the second half of the year, we plan to convert three additional routes to Mint, starting service from New York to San Diego and Las Vegas, and from Boston to San Diego. By year-end, we are scheduled to have 31 Mint aircraft on nine weekday markets. Turning to Fort Lauderdale, we've been pleased with the market development as we build our relevance in South Florida. By the summer, we anticipate flying to 55 non-stop destinations as we grow both the breadth and depth of our service. We expect to continue to produce a significant RASM advantage to our competitors. As we build relevance, we believe that Fort Lauderdale will follow a broadly similar management trajectory as we saw in Boston a few years ago. We fully expect to produce margins comparable to our overall network when our Fort Lauderdale growth has matured. In New York City, we made some tactical adjustments in Newark that take effect this summer. Overall, our margin (10:40) performance in the New York area remains strong, particularly in Mint and our broader transcon flying. We expect those trends to continue. Within New York, Newark to Florida RASM growth was less than half a point of headwind to RASM in the first quarter and expected to be less of a headwind in the second quarter due to the capacity adjustments we've made. Turning to slide 9 and the revenue outlook, RASM declined 4.8% for the first quarter. Adjusted for calendar impacts, we estimate first quarter RASM declined approximately 1.2%. The timing of Easter negatively impacted the first quarter by 2.3 points. January calendar negatively impacted the quarter by approximately 1 point. Weather events and a higher completion factor were a small net headwind in the first quarter. As we disclosed in our March traffic release, we are moving to quarterly RASM guidance. We will discontinue reporting monthly RASM results. We plan to update our quarterly guidance with each traffic release and narrow our initial 3-point guidance range as we progress through the quarter. In February, we implemented revenue management actions focused on increasing yields through both inventory and pricing. Last week, we increased close-in fares system-wide and raised our fare structure in select markets including Boston-LaGuardia. We also raised select Mint fares for the 10th time, demonstrating the overwhelming success of our product. As our Mint product has matured, we're finding ways to better segment business in high-end leisure demand. That is resulting in a better mix of fares. As our Mint routes expand, we're optimizing our fare mix for each individual route. I'll conclude with the RASM outlook. For the second quarter, we expect further sequential RASM improvement on both a reported and adjusted basis. We expect second quarter RASM to increase between 3% and 6% year-over-year. To be transparent, that's assuming a 99% completion factor. To give some additional details to help modeling, we expect April RASM will increase in the double-digit percentages, approximately 11%. This outlook includes a 7-point benefit from Easter timing. Beyond April, we expect positive RASM for the balance of the second quarter. Finally, I want to echo Robin in thanking our outstanding crewmembers for their hard work. And now, I'll turn the call over to Steve.
Stephen J. Priest - JetBlue Airways Corp.: Thank you, Martin and Robin. Good morning, everyone, and thanks for joining us. I'm honored to have been appointed CFO. We have an outstanding foundation at JetBlue, and I'm thrilled to be working with our crewmembers to realize the immense opportunities we have in front of us. We are all very aware of our shareholders' expectations and part of my job is translating the efforts of our crewmembers into value for you, our owners. I've greatly appreciated the open dialog in my first months in the role and you can be sure this direct engagement will continue. I firmly believe we have enormous potential to drive shareholder value over the coming years, increasing our margins and return on invested capital as we execute our growth. I'll start on slide 11 of the presentation with some highlights for the first quarter. Our operating income was $147 million, down 58% year-over-year, and our net income for the quarter was $85 million. Pre-tax margin was 7.9%, down year-over-year by 12.1 points. There was no profit sharing included in the quarter and EPS was $0.25 per basic and diluted share. Net income was positively impacted by a lower effective tax rate. We now expect a 38% effective tax rate for the full year. The margin decline during the first quarter was driven by a combination of the RASM dynamics discussed by Marty, the impact from Easter falling into the first quarter last year, higher fuel prices, and maintenance and labor cost pressures we've outlined in past calls. Moving on to slide 12, driving costs out of our system is a critical element of our strategy and our ability to deliver on our margin commitments. In the near-term, we face some unit cost headwinds. For the first quarter, year-over-year unit costs ex-fuel increased 3.3% versus our guidance of 3% to 5% growth. Year-over-year growth was mainly driven by a decline in stage length of approximately 2.5%. We continued to see the impact of older aircraft, as well as escalation in our maintenance contracts, with unit maintenance costs of 8.7% year-over-year. We were able to keep CASM ex-fuel growth in the lower half of our guidance range despite two winter events. For the second quarter, we expect CASM ex-fuel growth to increase and reach a peak for the year of between 4.5% and 6.5%. We expect the growth rate to moderate in the second half of 2017. Maintenance costs are expected to increase at a faster rate in the first quarter which reflects the timing of heavy maintenance checks. Stage length continues to impact our CASM ex-fuel trends, but will begin to moderate by the fourth quarter. I'd like to emphasize that our 2017 capital – cost outlook is unchanged. We remain confident in our CASM ex-fuel guidance of between 1.5% and 3.5% growth. We expect unit cost pressures to moderate as we move into the second half of 2017. Moving on to slide 13, my number one business priority is our cost structure. We can only grow in a value accretive way by fully executing on the structural cost initiatives. During the past year, I have been leading a cross-functional team and we are already working on the first $100 million of our $250 million to $300 million cost savings in the total plan. We continue to expect 2020 to be the full run rate year with full savings in place by the end of 2019. 2017 is a critical year for our cost program. Whilst we expect to realize only a small benefit, we are laying the foundation for future savings. The team is hard at work renegotiating and putting our RFPs on over 20 significant contracts. The focus currently is on maintenance, commercial and IT-related contracts. One specific area I would like to highlight is the progress we've made in airports. We have brought our self-service technology to six airports and expect to have 12 airports completed by year-end. We expect to provide a detailed update on our structural cost initiatives in the second quarter and fourth quarter earnings calls for each year of the program. In addition, our cost efforts go beyond our structural initiatives. We launched an on-time performance effort late last year and we are working to further improve the customer experience even as we reduce the cost of irregular operations. We'll launch our cabin restyling effort on our A320s this summer, and of course, we have already completed the restyling of the A321 fleet last year. For the three-year period, 2018 to 2020, we are aiming for a CASM ex-fuel target between flat to 1%. Again, we fully understand that the success of our efforts to control costs is a key to accretive growth for our shareholders. Moving on to slide 14, we ended the first quarter with 230 aircraft, including 103 unencumbered aircraft. During this period, we purchased two aircraft out of operating leases and also purchased an additional aircraft out of operating lease in early April. We expect these three deals to produce $1 million in aircraft rent savings annually. Since 2015, we've purchased off-leased 18 aircraft for $325 million. This is an incredibly highly accretive use of our strong balance sheet. As part of our margin and return commitments, Robin has asked me to lead a detailed review of our current and future fleet. We are still in initial stages but have made enough progress to begin making some changes to our order book. To be clear, the lens we are using for fleet decisions is maximizing our returns and ensuring the most efficient use of invested capital. Fleet, as we all know, is a majority of any airline's invested capital base. As we look at the fleet, we're not looking at CASM and RASM in isolation. We are working hand-in-hand with our commercial team to ensure we have a fleet that fits our network strategy and produces the best possible returns for our own. As I mentioned, our work has progressed to a point where we are deferring 13 aircraft in 2019 and 2020. Specifically, we are deferring eight aircraft from 2019 to 2023 and five aircraft in 2020 to 2024. We retain flexibility to make further changes in our order book. Additionally, we have worked with Airbus to swap 2018 NEO deliveries. The 11 aircraft on order for 2018 are now all 321ceos. The second part of our fleet review is taking a hard look at the future of the E190 in our fleet. We believe the timing is ideal. Our 30 aircraft on lease begin to expire starting in 2023, and we need to decide on the 24 Embraer aircraft we currently have on order. The delivery dates on these aircraft were deferred in 2014. It is no secret that the E190 is a higher CASM aircraft. We estimate that our E190 CASM is roughly 20% higher than our A320s on a stage length adjusted basis. However, the E190 is also a significantly higher RASM aircraft and support some of our highest margin business markets where customers value higher frequency. For example, the E190 has been a vital tool in developing our Boston-focused city in particular, and that will factor into our fleet work as well. Moving on to slide 15, we ended the first quarter with an adjusted debt to cap ratio of 34%, well within our target range of 30% to 40% over the cycle. We are extremely comfortable with this range. In early April, we amended and extended our revolving facility, increasing the total size to $425 million. We improved the covenants and lowered the cost for JetBlue. My predecessors made phenomenal strides with our balance sheet and that supports our maturing approach to capital allocation. In the first quarter, we announced $100 million of accelerated share repurchase, adding to the $120 million completed in the fourth quarter of 2016. This leaves us with $280 million left on our authorization through 2019. We intend to launch $150 million accelerated share repurchase this quarter, which we'll expect to complete by the end of July. We have flexibility to be opportunistic to accelerate our share repurchase as long as the current fuel and revenue environment continue. We expect our CapEx spend for 2017 to remain between $1.2 billion and $1.4 billion. As we move through the year, we intend to use a mix of cash and debt to fund aircraft purchases. With the aircraft deferrals, we now expect our medium-term CapEx to average $1.1 billion versus the prior guide of $1.3 billion. Our CapEx plans are highly correlated to our fleet review and the decisions we have made so far are accretive to our business. Capital allocation is a major lever of driving shareholder value. Our aircraft investments remain focused on a highly return accretive A321 aircraft. We are pleased with our use of cash and we feel confident in our ability to execute mid-single-digit to high single-digit growth and return capital to our shareholders. Moving on to the final slide, slide 16. Before I conclude, I want to thank our crewmembers for all of their hard work and dedication. We have a really terrific team here at JetBlue. In my new role, I will be focused on leading efforts to enhance margins and drive superior returns, achieving the benefits of scale and our unit cost growth is absolutely vital. We are committed to above industry average margins with the ultimate goal of achieving returns comparable to our low cost peers. Structural cost and revenue initiatives, our fleet review and disciplined growth are just some of the levers we are pulling to ensure that we create shareholder value. And with that, we are happy to take your questions.
David Fintzen - JetBlue Airways Corp.: Thanks, everyone. Hillary, we're now ready for the question-and-answer session with the analysts. Please, go ahead with the instructions.
Operator: Thank you. Our first question comes from Mike Linenberg with Deutsche Bank.
Mike J. Linenberg - Deutsche Bank Securities, Inc.: Yes. Hey, good morning, everybody. Hey, quick question here and I don't know if it's for Marty or Robin. Just with all the headlines with respect to the involuntary denied boardings. I know that historically JetBlue, you have a policy of not overbooking, although I guess if you look at your numbers over the last year or so, they've crept up. And I suspect there's something structural going on. Can you just talk about why those numbers are so high despite the overbook? Are there changes to bring that, are we going to see that number come down?
Robin Hayes - JetBlue Airways Corp.: Yes. Hi, Mike. Good morning. It's Robin. I'll take that. Yes, we don't oversell our flights. The numbers that you're looking at actually relate to when we have a mechanical down-gauge of a larger airplane into a smaller airplane, our old process was to sort of move customers over on to the smaller airplane and then the rest would count in those numbers. We're actually changing the way we do that going forward because, in most cases, we are making those changes more than four hours before departure and so it's not something that sort of customers have experienced so much at the airport. And we are committed to our policy of not overselling flights and our crewmembers have always been empowered to make decisions in the rare cases where we've had to put someone on flight to have a conversation (26:20) customers not in a voluntary manner.
Mike J. Linenberg - Deutsche Bank Securities, Inc.: Okay, great. And then, just my second question. I thought it was somewhat interesting that you're swapping from NEOs to CEOs in 2018. Can you just talk about the rationale behind that decision? And I apologize, I should know this, but are your NEOs, are they coming with the GTF or are they the CFM engine?
Robin Hayes - JetBlue Airways Corp.: Thanks, Mike. I'll get Steve to take that.
Stephen J. Priest - JetBlue Airways Corp.: Hey, Mike. Thanks for the question. Yes, just to clarify, the early NEOs that we're bringing into the fleet will have the Pratt GTF engine. I mean, you've obviously heard a lot about the GTF in the marketplace. Pratt are confident in resolving issues with the GTF and they're a great partner with JetBlue. We just felt that swapping the NEOs with the CEOs between 2018 and 2019 was just prudent, good contingency planning for us. So that's the approach that we've taken.
Mike J. Linenberg - Deutsche Bank Securities, Inc.: And then, there's obviously a CapEx benefit from that because the CEO obviously, the acquisition costs are significantly lower, right? Is that the right way to look at it?
Stephen J. Priest - JetBlue Airways Corp.: There's a (27:30). And as you're aware, I mean, we announced this morning this is part of a wider fleet review, where we see the opportunity to defer 13 additional aircraft out of 2019 and 2020. So that activity as well has really helped our capital allocation process.
Mike J. Linenberg - Deutsche Bank Securities, Inc.: Great. Okay. Thank you very much.
Operator: Our next question comes from Jamie Baker with JPMorgan.
Jamie N. Baker - JPMorgan Securities LLC: Hey. Good morning, everybody.
Robin Hayes - JetBlue Airways Corp.: Good morning, Jamie.
Jamie N. Baker - JPMorgan Securities LLC: First question, I suppose either Robin or Steve, you cited $100 million of savings as "work in progress". You mentioned looking in every corner for margin upside. I know it's a sensitive topic but should we assume that head count is an area that you're willing to at least examine where under – I would say whereas under the previous administration I didn't consider it to be on the table.
Robin Hayes - JetBlue Airways Corp.: Thanks, Jamie. Look, and by the way before I start, should I be wishing you a very happy birthday today?
Jamie N. Baker - JPMorgan Securities LLC: It's a happy birthday certainly for your shareholders today, that's what matters. Thank you.
Robin Hayes - JetBlue Airways Corp.: That's very good to hear. Look, we're very committed to leaving no stone unturned. In fact, two years ago to three years ago we went to a very significant organizational review here which resulted in about a 10% reduction in leadership head count as part of the structural cost program. We're looking at how we can be more efficient and absolutely we need to look at everything, we are very flexible and we'll continue to be very flexible in terms of leaving no stone unturned.
Jamie N. Baker - JPMorgan Securities LLC: Appreciate that. And second for Steve, I had a little bit of a hard time, must be my age in understanding the Embraer 190 commentary, you cite the CASM drag but also the RASM benefit, we get that. The fact they operate on some uniquely high margin routes. If we were to think of the entirety of the E190 fleet on a margin basis, how much of a drag do you consider that fleet type to be? And I'm asking because if there is a gradual solution that you can achieve in this size aircraft, it would help to understand how accretive that could be longer-term.
Stephen J. Priest - JetBlue Airways Corp.: Thank you, Jamie. As you know, we're sort of looking long and hard at the whole current and future fleet and today's announcement is just part of that. And the E190 is just one key element of that review. We have 60 E190s in the fleet. I'd like to reiterate that the success we've had in Boston and the high margins that we generate at Boston, the E190 is a critical part of that. And as I mentioned, it is a higher CASM aircraft, but we do drive higher RASM benefits over the size of it. In terms of the total fleet, that's one of the key things that's on the table. You can go from everything from coming out of the fleets in its entirety or leaving all the 60 into the fleet. We won't get into any specific perspectives on the margin associated with our aircraft. But it's a big part of the review, reiterating the fact that there are CASM challenges with the aircraft. But it's just a good benefit to JetBlue in some of our markets as we fly them today.
Jamie N. Baker - JPMorgan Securities LLC: Got it. I appreciate the additional color. Take care, gentlemen.
Stephen J. Priest - JetBlue Airways Corp.: Thank you.
Operator: Our next question comes from Duane Pfennigwerth with Evercore ISI.
Raymond Wong - Evercore Group LLC: Hey, guys. Thanks for the time. This is actually Ray Wong on for Duane. In regards to the E190s, when can we expect a decision on that longer-term future?
Stephen J. Priest - JetBlue Airways Corp.: I'll pick that one up, Duane (sic) [Ray], and good morning, it's Steve here. We won't be coming out with any specific date on this. It will be sort of later this year. Whilst we're treating this with a real sense of urgency, it's my job to make sure that we do real due diligence around this. This is not a decision that we would jump to very, very quickly. And I want to make sure that my staff and the team, particularly in partnership with our network colleagues, do a very, very thorough job on this. I was delighted again to announce the deferrals this morning because capital allocation and driving shareholder returns is absolutely critical to me, and the E190 is just part of that. I'd just like to finally assure you that when we do have anything to announce, then we will certainly be out there with that for them. So, it is going to take a little bit of time and we'll continue to update you guys as we continue to progress.
Raymond Wong - Evercore Group LLC: Understood. And so, in regards to those aircraft deferrals, how does that impact your decision for potential Trans-Atlantic flying and how do recent competitive trends kind of factor in to that?
Stephen J. Priest - JetBlue Airways Corp.: Again, I'll pick that one up. It's Steve here. And despite the deferrals that we've announced this morning, we still have some optionality with Airbus in terms of converting the NEOs to the LRs. And we still have that in our gift (32:33). Now, any decision on the LR will be made on a margin basis. So, if JetBlue, in partnership with Airbus, look at the capabilities of this aircraft and we come to a view that we can drive more accretive margins by flying across the Atlantic versus flying, if you like, West transcon, then that would be a decision that we could consider. If the margins of the LR are not comparable to a domestic NEO, then we wouldn't consider it. So, we're going to do due diligence at the moment. We continue to have flexibility with this, and indeed if it turns out that it's a higher margin use of capital, then we will take the investments accordingly, and if it's not, then we won't.
Raymond Wong - Evercore Group LLC: That's great to hear. Thanks a lot, Steve.
Operator: Our next question comes from Kevin Crissey with Citigroup.
Kevin Crissey - Citigroup Global Markets, Inc.: Good morning. Thanks for the time. Steve, welcome to the circus. So, I have more questions than usual, so I'll probably ask a couple and then jump back in the queue. First, I guess, question would be is, I'm a little confused on the fleet. If I step back and look at the Investor Day from 2016, there was a deferral of 18 aircraft, and then shortly thereafter, there was the reacceleration of basically replacing those aircraft. And now there's another deferral and part of another fleet review. I combine that with reducing red-eyes and off-peak days and months which was something that was actually added during that timeframe and I'm kind of confused as to the strategy and the structure. So, maybe you could talk to the way you think about things. I know, Steve, you're new to that current position. So, basically give me comfort that we're not going to see a reversal of these reversals as we look forward.
Robin Hayes - JetBlue Airways Corp.: Yes. Thanks, Kevin. Well, let me start with your last comment. The answer to that is no. You won't be seeing any reversals. Look, I will make a couple of comments. Then I'll hand over to Steve because it's a really good question. We are absolutely focused on these margin commitments because that is how we drive shareholder value. Ever since I've been in JetBlue, we have always been successful with our partners at Airbus in creating a flexible order book, so that we can react to events. If you recall, the order we made last year was very important in bringing additional Mint airplanes into the fleet this year and into next year, and that has been a real margin driver for us. But we also left ourselves some flexibility in the out-years, and that is what we have negotiated today. The thing that isn't negotiable are these margin commitments, but we won't be driven by the order book. Steve, do you want to give any additional flavor on how you're thinking about the current review?
Stephen J. Priest - JetBlue Airways Corp.: The only thing I'd say, I mean I should have picked up the questions earlier about the overall fleet review. But I just want to emphasize on the call that we're taking a thorough look at our invested capital base and today was all part of that and making sure that we're not just thinking about maybe see around 2017 and 2018, but thinking about our order book over the medium-term and making sure with the right set of capital allocation and these fleet deferrals that we're thinking about that very seriously. So that's the only additional color, Robin, I would add to the question.
Kevin Crissey - Citigroup Global Markets, Inc.: Terrific. Thanks. And if I could have a follow-up, as you look at the E190 and its value on the network and you've highlighted that, can we rule out a replacement aircraft for the E190 or is this – what I'm asking is strictly reduction of the E190 or could there be a replacement for the E190? And then I'll get out of the queue. Thanks.
Stephen J. Priest - JetBlue Airways Corp.: Kevin, I'll take this one up, again. As I just reiterated, everything is on the table. We are having a thorough review of the E190. We took a look at the order book on the other side of things. We continue to have conversations and engagement with all of the manufacturers. So, my job as CFO is to make sure that we have the right capital base and we make sure that we bring the right return to shareholders and the whole fleet review is pivotal to that. So, I'm not ruling anything out at the moment.
Kevin Crissey - Citigroup Global Markets, Inc.: Thanks, Steve.
Operator: Our next question comes from Hunter Keay with Wolfe Research.
Hunter K. Keay - Wolfe Research LLC: Hey. Good morning. Thank you.
Robin Hayes - JetBlue Airways Corp.: Good morning, Hunter. How are you?
Hunter K. Keay - Wolfe Research LLC: Hi. Good. Thanks, Robin.
Robin Hayes - JetBlue Airways Corp.: Good, thanks.
Hunter K. Keay - Wolfe Research LLC: Good, good. So, the deferral again, at the Analyst Day, you talked about a high single-digit capacity growth rate CAGR to achieve the CASM targets. So, with the deferral, should we be thinking about that capacity growth rate as maybe now mid-single-digit to high single-digit capacity growth? And I can surmise by the slides where you said, even if that is the case, it's fair to assume that that does not put the CASM target at risk. Is that fair? Is all that fair?
Stephen J. Priest - JetBlue Airways Corp.: Morning, Hunter. It's Steve here, I'll take that up. First of all, as we continue to guide our capacity over the medium-term over the range we talked about, it's mid to single high digit, don't forget during this period, we also have the restyling, company restyling effort that is taking place as we go through that, which is incredibly accretive for our business as we continue toward 8% capacity on to our A320 fleet. Your question pertaining to CASM, despite the reduction of the $1.3 billion to the $1.1 billion CapEx guide, despite the change in the ASMs associated with the deferrals, our CASM guide remains as is, at zero to 1% during that period. So, we are absolutely committed to the cost-saving initiatives that we put forward, and our CASM guide remains.
Hunter K. Keay - Wolfe Research LLC: Okay. I'm sorry, Steve. I just want to be completely clear. Are you still saying high single-digit capacity CAGR through the end of the decade?
Stephen J. Priest - JetBlue Airways Corp.: Mid-single digit to high single digit.
Hunter K. Keay - Wolfe Research LLC: Okay. Mid to high. Thank you. Just want to make sure. Great. Yes. No. Thanks, Steve. And then in terms of the – again, another E190 question, thanks for – maybe this question is like two years too early, but if you're considering Trans-Atlantic at some point down the road, and Boston was such a successful market for you with that plane, would you need some smaller-gauge aircraft, I mean to feed Boston? I mean, again, maybe I'm – tell me if I'm too early in this question, but would you have to have some sort of feeder aircraft if you were to consider flying across the Trans-Atlantic in the A321LR?
Stephen J. Priest - JetBlue Airways Corp.: Frankly, Hunter, that's just too early to say.
Hunter K. Keay - Wolfe Research LLC: Okay.
Stephen J. Priest - JetBlue Airways Corp.: We've kicked off the fleet review. We have deferred some of the Airbus fleet. We're looking at the E190s. You're ahead of the game. We will continue to focus on that. And I wanted to reiterate what I said earlier. We've not made a decision on the LR. The LR is purely something we would do if the margins of that aircraft would be superior to the margins that we've got on the existing NEO fleet. So, it's just too presumptuous and too early at this stage.
Hunter K. Keay - Wolfe Research LLC: Thank you, Steve.
Operator: Our next question comes from Brandon Oglenski with Barclays.
Brandon Oglenski - Barclays Capital, Inc.: Hey. Good morning, everyone, and thanks for taking my question.
Robin Hayes - JetBlue Airways Corp.: Good morning.
Brandon Oglenski - Barclays Capital, Inc.: So, Robin, at a high level, and forgive me if you guys already announced this, but it sounds like the ARS, the $150 million that I think Steve talked about is incremental here and you guys are moving to quarterly guidance from monthly. I mean, it just seems like a little bit more mature message than we heard last quarter. I guess is that trying to send a signal to your shareholders and the fact that your stock is at the lowest valuation here in the group that there's a lot of confidence the strategy is going to work and you're willing to put some cash flow behind that?
Robin Hayes - JetBlue Airways Corp.: Yes. Look, thanks for the question, Brandon. I'll take that. We're absolutely committed to the continuous improvement from the Q1 results. We're absolutely committed to drive margins and drive shareholder value. That is the commitment to above industry margins. I mean, I really see that as a floor. I think that we have to be delivering the superior margins that the market expects from low-cost carriers. And so, this is all part of our plan to get there. I think we responded very quickly to the Q1 revenue performance. I think having Steve in the seat as CFO, I've been very pleased with how quickly he has acted on many fronts. Let's not forget he was in the company for over a year preparing the structural cost program. So, from him then moving into the CFO and now being responsible for executing that give me a great deal of confidence that when I think about revenue, when I think about unit costs, when I think about making sure that our growth is accretive, and we are driving value to shareholders through a capital return plan, I think it's my job to make sure all of those things are coming, and we are behaving and we're acting with a high level of urgency to get it done and that's what we're going to continue to do.
Brandon Oglenski - Barclays Capital, Inc.: I appreciate the response, Robin. And I guess on the back of that, Marty, what are the risks here because there's a lot of competitive growth in South Florida, I know you guys are focused there this year too. I mean, do you have confidence that you're going to continue the positive revenue momentum despite the fact that there's a lot of focus on the markets where you guys are?
Martin J. St. George - JetBlue Airways Corp.: Yes, hi, Brandon. Thank you. Frankly, based on the demand trends we're seeing right now, we're very confident in the guidance that' we've given out so far. And secondarily, back to the comments we made about South Florida, other than New York where we have taken specific actions in the New York market, our South Florida RASMs are doing very well versus system. So we are absolutely convinced that we're well in the path towards making all the improvements that we've talked about to continue to improve our margins.
Brandon Oglenski - Barclays Capital, Inc.: Appreciate it.
Operator: Our next question comes from Helane Becker with Cowen.
Helane Becker - Cowen & Co. LLC: Hi. Thank you, operator. Hi, everybody. Thank you for the time.
Robin Hayes - JetBlue Airways Corp.: Good morning, Helane.
Helane Becker - Cowen & Co. LLC: Just a couple of questions. On head count, up 10% on a year-on-year basis on a capacity increase of 4%, is there something you're getting ready for that you have such an increase in head count? Or is that a level we can expect to see for the rest of the year? Not sure why so many people were added.
Stephen J. Priest - JetBlue Airways Corp.: Hello, Helane. It's Steve Priest here. I'll take that one up. We obviously have – in terms of our crewmembers, particularly in flight space, we have flexibility with our crewmembers in terms of the hours that they work with us. And that flexes up and down with something that we call the big divisor (43:58), which is depending on how many hours each of our crewmembers work. And the increase in the head count we've taken forward is associated with that. So, if you want to get into any more of the details surrounding that, then very happy for you to take that offline with David. But that's the underpinning issue associated with that.
Helane Becker - Cowen & Co. LLC: Okay. And then on profit sharing, I'm not sure why there was no accrual for profit sharing this quarter.
Stephen J. Priest - JetBlue Airways Corp.: Helane, again, I'll take that up. That's purely from a (44:29) accounting perspective. So, it doesn't set any expectations for the full year; it's just how we account for things in the quarter.
Helane Becker - Cowen & Co. LLC: Okay. And then, my last question is with respect to core RASM, I think you said April was up about 11% and then for the full quarter, RASM would be up. But I guess it's coming down on a sequential monthly basis?
Martin J. St. George - JetBlue Airways Corp.: Hi, Helane. It's Marty.
Helane Becker - Cowen & Co. LLC: Hi, Marty.
Martin J. St. George - JetBlue Airways Corp.: So, yes, we did guide the entire quarter at being up 3% to 6%. Obviously, there was a big, big Easter benefit in there. So, you do need to back Easter benefit out. There's also a little bit of noise throughout the rest of the quarter specifically last year (45:17). I will say, overall, we're trying to get away from the monthly ups and downs. I think as a leisure carrier, we're certainly very seasonal, very separate to holidays and I think based on the guidance we've gotten from a lot of you on the call and from investors, I think we're much more comfortable going to a quarterly guidance.
Helane Becker - Cowen & Co. LLC: Okay. No, that's fine. I appreciate it. That's all my questions. Thank you.
Operator: Our next question is from Savi Syth with Raymond James.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey. Good morning.
Robin Hayes - JetBlue Airways Corp.: Morning, Savi.
Savanthi N. Syth - Raymond James & Associates, Inc.: If I may just follow up on Helane's question there, Marty, what's the core assumption in that 2Q PRASM guide without some of the holiday noise? Because it's clearly improved throughout 1Q, so I'm trying to understand maybe what the core trend is in 2Q and what you can tell so far.
Martin J. St. George - JetBlue Airways Corp.: Hi, Savi. I think the best way to describe it is we can just specifically talk about Easter. We talked about the overall benefit of Easter moving from March to April. It's about 2.3 points impact to the overall second quarter. So, a cleaned up second quarter would be subtracting 2.3 points from that overall guidance.
Savanthi N. Syth - Raymond James & Associates, Inc.: Okay. And there's no benefit from any kind of early 4th of July travel happening in June this year versus last year?
Martin J. St. George - JetBlue Airways Corp.: No. This is a movement between April and May, but not between June and July.
Savanthi N. Syth - Raymond James & Associates, Inc.: Okay. That's helpful. Thank you. And maybe if I can ask, I think you addressed this a little bit in the commentary on the improvements that you've made to Mint, even since you've launched it and the fare increases, but I look at the markets that you've introduced, be it the Boston, New York shuttle market or Mint. And I look at how much the kind of prevailing fare is versus what JetBlue's entered to the market with. And I get the model – the low-cost carrier model is to bring fares down and stimulate. But at the same time, you do have maybe outside of maybe from a network standpoint, your product is kind of on par or better than your competing products, and I think you see that in Fort Lauderdale. Just curious why I shouldn't assume that there's more to go with Mint than some of these other fares, that over time, you can start to claim the premium like you see in Fort Lauderdale, or is there something that I'm missing here?
Martin J. St. George - JetBlue Airways Corp.: Well, hi, Savi. It's a great question. And I think that the – I don't want to go into too much detail, but the best way to describe it is we've certainly had price increases on the top of the range. We've also had less price increases on the bottom of the range. I think having a really wide range between the highest fares and lowest fares actually helps us fulfill what we want to accomplish as a low-cost carrier, but also continue to drive RASM improvement. I do think there's RASM improvement upside, and the team is continually looking at the best way to segment that market. I think one thing we're seeing that I think has worked to our advantage is that we do have a good mix of corporate-dealt business, small, medium business, and also high-end leisure, all on different booking curves. So I think the ability to segment that demand and charge different prices at different points in the booking curve has worked out very much to our advantage.
Savanthi N. Syth - Raymond James & Associates, Inc.: And, Marty, does that apply to you like the Boston, New York shuttle market as well and some of the other markets you're in?
Martin J. St. George - JetBlue Airways Corp.: I think it applies system-wide. I mean, my view is that's the overall JetBlue strategy, which is we're not afraid of low fares, and we're not really afraid of high fares in really high-peak demand periods.
Savanthi N. Syth - Raymond James & Associates, Inc.: All right. Thank you.
Operator: Our next question comes from Rajeev Lalwani with Morgan Stanley.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Hi, gentlemen. Thanks for the time. Robin, a question for you. You're currently focused on sort of improving your margins and even provided a slide showing your relative position which looks healthy. But just looking at some of the peer sets that you pointed out, it seemed like you're focused on some of the legacy carriers. So the question is, is that an appropriate comp for your business and is that what you're going to use going forward to assess capacity growth models?
Robin Hayes - JetBlue Airways Corp.: Yes. No, I think it's a great point. I mean, our peer set, our true peer set in my opinion, we compete with everyone. And so, when we say above average industry margins, I think about that as a flaw. When I think about what success looks like to me, that is driving those superior margins that our more sort of low-cost carrier peer set have done. 2016, I was pleased with that because we did deliver margins above some of those. Clearly, as we went into 2017, we were focused on improving that and we want to move urgently and quickly to a point where our margins are comparable with that more low-cost carrier peer set. And so the initiatives that we have outlined on the CASM side and I'm delighted at the progress we're making. I mean, not too much of it is visible yet outside the company, but we have a lot of efforts on that. I think we have responded quickly on the revenue initiatives and we will continue to do that, and the combination of those two things will ensure that our growth is value accretive, we maximize our ability to drive those shareholder returns, and deliver superior margins. And by the way, I don't see that as a long-term objective, that is something we need to move urgently towards.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Thanks, Robin. And then, Marty, a question for you. You made a comment about stability in positive RASM beyond sort of a really strong April. What are some of the major pluses and minuses we should be thinking about as we get beyond the month and start heading into the back half of the year, essentially the big risks and opportunities to make sure you hit that?
Martin J. St. George - JetBlue Airways Corp.: Hi. Thanks. I think the best way to start is by talking about what we're seeing for summer and beyond. It's very early for summer. We've got less than 20% of our revenue on the books so far. But we're very happy with what we're seeing in the early revenue trends. With respect to the rest of the year, all I can say is that we continue to have some of the efforts that we started in the first quarter take fruition as the year goes on, including by the end of the year, lapping our additions in Cuba, continuing to build momentum on some of the ancillary changes that we made. Fundamentally, I think we're relatively optimistic, but again, from a bookings perspective, I think it's way too early to say. The other thing I'll add is that the majority of our growth in the fourth quarter is actually driven by Mint deliveries, and Mint deliveries, have very much proven as being sort of RASM and margin accretive. So we continue to remain cautiously optimistic with what we're seeing for the rest of the year.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Thanks. Very helpful. And, Steve, a quick one for you if I could just sneak one in. On a profit sharing, I know there wasn't any accrual in the first quarter. How impactful was that as you start accruing for it through the rest of the year?
Stephen J. Priest - JetBlue Airways Corp.: Thank you, Rajeev, for the question. It's very early to say. We've come out of the first quarter. We talked about some of the headwinds that we've got in the first half of the year, particularly associated with the stage length and the timing of the maintenance. I'm very confident in the work that our crewmembers are doing. I'm confident in the structural cost initiative starting to gain traction, and I'm very confident in the work that Marty and the commercial team are doing. So, the guide that we've given, in terms of the CASM guide going forward, it's included in there. So, you should refer to that when you're thinking about the approach going forward.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Thank you so much.
Operator: Our next question comes from Joseph DeNardi with Stifel.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Yes. Thank you. Robin, just, I guess, going back to one of the prior questions, why is a relative margin target the right way to, I guess, guide the business? Why not come up with an absolute margin goal?
Robin Hayes - JetBlue Airways Corp.: No. Thanks, Joe. We talk about that. Look, our commitment, whether we describe it as a relative margin or absolute margin, is to drive superior margins. There are airlines that go out with sort of fixed number targets. There is a lot in this industry that we don't control, particularly around fuel and the sort of the overall revenue environment. And so that leads us to a preference of saying, look, our job as the leadership team at JetBlue is to drive superior margins in the market, and we're ambitious, and that's something we want to accomplish quickly. And if we are driving the superior margins then as a relative investment thesis, then we're doing everything we can. And it's really, I think, making sure that our growth is accretive and making sure that those margin commitments are understood and that the market has confidence that everything that we're doing as a leadership team is to drive a high level of urgency around those margin commitments to drive those superior returns. If over the course of time we get more certainty around some of these other factors, then I'm not opposed philosophically to describe them in absolute terms. But right now, we're focused on driving superior margins relative to the peer set.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Thanks, Robin. And then, Steve, I think there was a little bit of uncertainty kind of coming out of Investor Day as to, for the longer-term CASM ex-guidance, when you would actually start to realize that cost leverage. So, I'm wondering if you could just maybe put a finer point to that. Should we expect that in 2018? Unit costs ex-fuel are up again and you really start to get the benefit in 2019 and 2020?
Stephen J. Priest - JetBlue Airways Corp.: Thanks, Joe, for the question. As I alluded to, the structural cost program is pivotal to this and I'm absolutely focused on it. As you would naturally expect, there's a ramp. We've started to execute, and I'm very pleased with the early results. And the results we're seeing in 2017 are obviously into the guidance. We've given a CAGR perspective on the zero to 1% over the 2018 to 2020 period, for the reason that again, this will ramp up over time and it's very contingent. Some of the contracts that we have with our business partners, our abilities to invest in technology to start driving some of the changes for example. So, we haven't come out with explicit guidance on each of the years, but as I've reiterated, I have absolutely complete confidence in the execution of program. The program will, in its totality, be complete by the end of 2019, so you can assume the full $250 million to $300 million will be embedded in the 2020 year. And you will also get a sense that it will ramp as we go forward. But at this point, that's the guide that we've given. In addition, as I mentioned on the call, we will be giving more explicit updates on the structural cost program and its progress on the 2Q and the 4Q earnings calls for the duration of the program.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Thanks, Steve.
Operator: Our next question comes from Darryl Genovesi with UBS.
Darryl Genovesi - UBS Securities LLC: Hi, guys. Thanks for the time. Steve, your CASM guidance implies 4% to 5% growth in the first half, but less than 1% growth in the second half of the year. Could you just walk us through what some of the moving pieces are that get you to that 300 basis points split. And I know you mentioned there was some maintenance that was sitting in the second quarter, but just wondering about the second half in particular. And then within your response perhaps you could provide us with a quick update on the A320 retrofit program.
Stephen J. Priest - JetBlue Airways Corp.: Yes. No problem. Thanks very much for the question, Darryl.
Darryl Genovesi - UBS Securities LLC: Sure.
Stephen J. Priest - JetBlue Airways Corp.: First of all, I'll address the Q1 and Q2's half one position. We were pretty negatively impacted by stage length in Q1 and that will continue into Q2. So, the stage length adjustment has put a bit of a headwind on to the underlying CASM performance. And in addition, we had a couple of significant storm events in Q1 which had an impact on the CASM as well. But the primary driver is the timing issue. We have significant maintenance activity happening in the first half of the year. Some of that was in half one – sorry, in Q1. The remainder of that will be in Q2. And then that will pay a lot quite significantly as we go into Q3 and Q4. And that's why I've got absolute confidence in the annual guide that we've come out with, with the 1.5% to 3.5% CASM because it really is a timing issue. So, we're good on that front. Moving on to your second question about the restyling effort, we were very, very pleased with the results of the A321 program that we undertook and completed by the end of December. The A320 program will kick off in the summer with the first prototype, and we'll take that forward. The thing that I'm most excited about with regard to the retrofit program and have it going forward, apart from the excellent product that it will bring to our customers and the increased density on the aircraft, is the fact that we're going to be really able to use this as a structural cost initiative by aligning the heavy maintenance checks on our airframes as we go forward with the retrofit program and aligning one on top of each other. And the investments, as you saw on the slide, in the long-term planning software is really going to help us do that. So, we are taking a very, very focused approach, not only to our customer and to the investment in the product but also into our unit cost as we progress through the program.
Darryl Genovesi - UBS Securities LLC: Great. Thank you. And then, Marty, if I could, and apologies for belaboring the Q2 RASM discussion, but would you just comment on the extent to which the Atlanta weather in early April may be benefiting your second quarter RASM performance?
Martin J. St. George - JetBlue Airways Corp.: Hi, Darryl. Thanks. With respect to Atlanta, we certainly saw some pricing changes and inventory changes from Delta. But the impact on our RASM is de minimis.
Darryl Genovesi - UBS Securities LLC: Great. Thank you.
Operator: We have one more question from Dan McKenzie with Buckingham Research.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Oh, hey, good morning, guys. Thanks so much for squeezing me in here. Marty, given the focus on Mint as a RASM builder, I guess I'll just follow up on a couple of the prior questions. I'm wondering if you'd be willing to break it out for us either as a RASM contributor or perhaps on a full year basis. And so it clearly helped offset some of the decline in the first quarter. But I'm wondering if you can just share some more perspective about what that was. And then related to that, what is the annual goal for Mint, with respect to, say, the longer-term revenue plan, say, in 2020?
Martin J. St. George - JetBlue Airways Corp.: Hi, Dan. I'm still thinking about the first question. We generally don't release that level of detail, but maybe Dave and I can follow up afterwards and see if there's information we can give you. With respect to your second question, and our overall strategy for Mint, I think the best way to describe it is that we've looked at Mint as being an incremental strategy. You may remember when we started out announcing Mint, we announced New York, LA and New York, San Francisco significantly exceeded our expectations. Then we announced Boston also significantly exceeded our expectations. And then we added Fort Lauderdale. Also, as we said, booking very well. We've got our latest add with the announcements we've made for San Diego and Las Vegas. There's no grand plan that Mint is going to be 60 airplanes, 80 airplanes, 100 airplanes. Our view is, we will let success beget success. It is the right product structure at the right price point, delivered by outstanding crewmembers, and I think that we've had great customer reaction. As long as we continue to get that reaction, we'll expand it but much like Steve's comment, with respect to the A321LR, adding Mint airplanes is competitive against adding 200-seat high density A321s which also have a high opportunity costs. So we continue to take a mix of both airplanes because they're both very much accretive to the network.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Understood. And then if I could just follow up with one last one here. I guess, Marty, again, going back to the commentary that San Juan capacity adjustments have begun to improve RASM, have we lapped the challenges from Puerto Rico in just more broadly Latin America? And I guess the reason I'm asking is because I'm just trying to understand where the hidden RASM levers could be in the back half of the year. It looks like schedule – it looks like capacity might be up 8% in the back half of the year. So I'm just trying to get some, perhaps some more perspective about where we could see some strength.
Martin J. St. George - JetBlue Airways Corp.: Thanks, Dan. I think it's important to remember that we have impact from a lot of our changes that continue to sort of come in throughout the rest of the year. One of those is that in the fourth quarter, we do lap the additions that we made last year in Cuba, Long Beach and in Newark. With respect to Puerto Rico specifically, the softness that we started seeing, I think, as an industry in Puerto Rico really started in the first quarter of 2016. So, we're really starting to lap that right now.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Perfect. Thanks, guys.
David Fintzen - JetBlue Airways Corp.: And that concludes our first quarter 2017 conference call. Thanks for joining us. Have a great day.
Operator: And again, that will conclude today's conference. Thank you for your participation.